Operator: Good day, and welcome to Sea Limited First Quarter 2018 Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference our to Alan Hellawell, Chief Strategy Officer. Please go ahead. 
Alan Hellawell: Thank you. Good morning, and good evening, everyone, and welcome to Sea's 2018 First Quarter Earnings Conference Call. I am Alan Hellawell, Sea's Group Chief Strategy Officer. 
 Before we continue, I'd like to remind you that we might be making forward-looking statements, which are inherently subject to risks and uncertainties and may not be realized in the future for various reasons as stated in our press release. Also, this call includes discussion of certain non-GAAP financial measures such as adjusted revenue, adjusted EBITDA and adjusted net loss. We believe these measures can enhance our investors understanding of the actual cash flows of our major businesses when used as a complement to our GAAP disclosures. For discussion of the use of non-GAAP financial measures and reconciliation with the closest GAAP measure, please refer to the section on non-GAAP financial measures in our press release. 
 Let me begin by introducing the management team on the call, we have our Chairman and Group Chief Executive Officer, Forrest Li; and our Group Chief Financial Officer, Tony Hou. Forrest, Tony and myself will share strategy and business updates, operating highlights and financial performance for the quarter. This will be followed by a Q&A session in which we welcome any questions you have. With that, let's begin with Forrest for our key strategic highlights. 
Forrest Li: Thanks, Alan. Thank you for joining today's call. In the first quarter of 2018, we, once again, enjoyed robust growth across all of our businesses. I would like to start by highlighting that our digital entertainment business, Garena, return its #1 position in our region for the full year of 2017, based on a combined assessment conducted by Niko and the Newzoo, recently, of the online gaming market in our region. 
 Looking at the first quarter of 2018, Garena delivered adjusted revenue of $146 million, up 43% year-on-year and adjusted EBITDA of $55 million, an increase of 49% year-on-year. We are also pleased to share with you that our first self-developed mobile title, Free Fire, recently achieved $13 million DAUs. Free Fire's continued growth gave us confidence that the title has great potential going forward. Free Fire remind us in early stage of monetization as we focus on building of critical mass of users. We look to focus more on monetization as Free Fire's user base continues to expand. We continue to grow our eSports offering to achieve even greater dominance in our region. Our annual flagship event, Garena World, had attendance of approximately 240,000 and attracted over 10.6 million views online. Over 11,000 teams competed in the various tournaments leading up to the event in Bangkok. We are confident that our eSports franchise will drive further gamer engagement and extend the lifecycle of our games. We also have a strong pipeline of highly-anticipated titles for 2018 across both classic and the new franchises. And we are excited about their upcoming launches. 
 Let's move on to e-commerce. Shopee continued to enjoy rapid growth and ever-improving economics. I'm pleased to report that e-commerce GMV reached $1.9 billion in the first quarter of 2018, almost triple that for the fourth quarter of 2017. As mentioned previously, we continue to extend support to our sellers through value-added services. Our Service by Shopee offerings include inventory management, online store operations and the fulfillment services. We also provide Shopee Logistics Service for cross-border sellers with complex logistical requirements. On top of that, we may conduct direct sales on behalf of key brands and sellers. We enable sellers to mix and match the different services based on their needs and preferences. Both Service by Shopee and Shopee Logistics Service serve as natural expansion of our business as we expand our partnership with brands. 
 At the same time, we also deepened our relationship with sellers, who have outgrown their capacity to cope with the increased demand or have more complex needs. We are committed to the success of our sellers and will continue to find ways to improve the online selling experience. We expect these services to strengthen our long-term relationships with our sellers. With this additional services, we are able to improve the product assortment, stock availability and the pricing for our buyers.  In summary, I'm very proud of the growth that we have achieved in the first quarter of 2018 and I look forward to a strong growth trend for the rest of 2018. 
 With that, let me hand it over to Alan 
Alan Hellawell: Thank you, Forrest. Within digital entertainment, we continued to strengthen our market leadership. Forrest has outlined adjusted revenue and adjusted EBITDA results. Garena continues to deliver significant free cash flow. Our digital entertainment adjusted EBITDA margin rose to 38% in the first quarter of 2018 compared to 36% in the same period in 2017, revealing further margin leverage as Garena benefits from greater scale. 
 I would like to share with you one more facet of Garena's expanding role in the mobile edge. As smartphones continued to improve access to gaming, a greater number of people are gaining access to better forms of entertainment. This will lead to an increase in demand from mobile gamers for high-quality content and as a result, we expect to see sustained growth in the popularity of leading multi-year mobile game franchises, similar to what we've seen for PC. And as the game franchises grow, their ancillary ecosystem starts to develop as well, which will, in turn, spark greater demand from increasingly sophisticated mobile gamers for better on-the-ground game services and community building. Given our position as a leading gaming platform, our geographic reach, our long-running on-the-ground presence in these markets and our track record of success, we believe that Garena is well-positioned to provide such services. 
 These factors are also key enablers to our dominance in eSports. We have become one of the region's most fully integrated eSports operators, since our inception in 2009. Critical to our successes, the extensive network of community leaders we've attracted across various markets. We work closely with them to run thousands of local eSports events. On top of this infrastructure, we have a suite of capabilities, supporting eSports content production, particularly in our largest markets. We're pretty clearly excited about the rapid expansion in eSports activities around Arena of Valor, which, with Honor of Kings, constituted the world's largest grossing gaming franchise, based on the latest data available. We also expect the inclusion of League of Legends and AOV as eSports at the Asian games in Jakarta to generate additional enthusiasm in gameplay around these titles. 
 In terms of operational results, quarterly active users, or QAU, meanwhile, grew 125% year-on-year and 44% quarter-on-quarter to $126.7 million, largely driven by existing games such as Arena of Valor and Free Fire. Meanwhile, average revenue per user, or ARPU, came in at $1.20 compared to $1.80 for the first quarter of 2017 and $1.60 for the fourth quarter of 2017. The easing in ARPU is mainly due to rapid user growth around Free Fire, which resulted in faster QAU compared to quarterly-paying users, or QPUs. QPUs remained stable at $7.2 million in the first quarter of 2018. As Forrest has mentioned, our focus for Free Fire, right now, is to build up a pool of long-term gamers. We are, indeed, experimenting with different monetization tools in parallel albeit at a gradual pace. 
 With regards to e-commerce, the markets in our region continue to grow strongly. Frost & Sullivan, for instance, just released its quarterly e-commerce report, which estimated that first quarter 2018 GMV for Southeast Asia and Taiwan grew 45% year-on-year to USD 10 billion. Based on their analysis of our region, Shopee is the largest e-commerce platform by orders in all markets other than Singapore. Once again, Shopee had an outstanding quarter with GMV reaching $1.9 billion, almost triple the GMV for the first quarter of 2017 and representing quarter-on-quarter growth of 23%. Shopee's gross orders reached $111.4 million, which more than tripled year-on-year. 
 Our ability to grow at such a rapid pace and an increasingly competitive market is testament to the Shopee management team's outstanding execution. In fact, Shopee's pace of growth is ahead of our already ambitious expectation and as we disclosed in our release, we've adjusted our revenue and GMV guidance for the full year 2018 to reflect our confidence in sustaining this strong momentum. 
 Our sales and marketing expenses declined in absolute terms from $135 million in the fourth quarter of 2017 to $127 million in the first quarter of 2018, reflecting how well we are managing our spending while still driving strong GMV growth. As S&M as a percentage of GMV decline from 8.5% in the fourth quarter to 6.6% in the first quarter. In addition, we are pleased to share with you that this quarter, we have value-added services contributing to our e-commerce adjusted revenue. Forrest touched on these offerings and Tony will go into greater detail around these items in his remarks. Our ability to offer such value-added services, is in many ways, driven by: One, the unique characteristics of the markets we serve; two, the less-developed e-commerce value chains found in our region; and three, our unique and growing skill set in servicing sellers. We expect these value-added services to grow and the business model to improve with the rising scale, efficiency and constant service improvement. 
 We also continue to cultivate our direct sales business, which has contributed to growth in product revenue. As we have referenced on previous calls, we have begun to offer direct sale service to select sellers, particularly larger brands. We view these services as an effective strategy to improve many aspects of our marketplace. They are, for instance, ideal for fast-moving SKUs with demanding fulfillment needs.  With regards to our digital financial services business, we continue to focus our efforts on strengthening our infrastructure to support our existing platforms. 
 With that, I will pass on to Tony to talk more about the financials. 
Hou Tianyu: Thank you, Alan, and thank you, everyone, for joining the call. First, I would like to talk about some changes in this quarter's release. For our e-commerce segment, we have made additional revenue disclosures on marketplace revenue and product revenues to help you better understand Shopee's offer regions as the business model evolves. Marketplace revenue consist of commission and advertising income as we have disclosed in the previous quarters and revenue generated from Service by Shopee, Shopee Logistics Service as well as other value-added services, as we continue to broaden our service offerings, while product revenue mainly consists of revenue from direct sales. We have included detailed corporate financial schedule together with corresponding management analysis in today's press release. So rather than taking you through our disclosures line by line, I will focus my comments on some key financial metrics. So that we have more time for Q&A  later. 
 For Sea, overall, our first quarter total adjusted revenue was our highest ever at $197 million, an increase of 81% year-on-year and 20% quarter-over-quarter. This was primarily driven by the continued growth of our digital entertainment business and the monetization efforts of our e-commerce business. Digital entertainment adjusted revenue was $146 million, an increase of 43% year-on-year and 3% quarter-on-quarter, primarily due to the growth of our QAUs as we launched new games, expanded our existing games into new markets and grew our existing major games in the core markets. Adjusted EBITDA was $55 million, an increase of 49% year-on-year and 5% quarter-on-quarter as we improved our operational efficiencies. 
 E-commerce adjusted revenue was $33.7 million, up 262% quarter-on-quarter from the fourth quarter of 2017. Of this $33.7 million adjusted revenue, marketplace revenue was $22 million, while product revenue was $11.7 million. Our adjusted EBITDA loss were down slightly to negative $179.6 million, as we continue to -- our investment to fully capture the market opportunity in the region. We will stick to our strategy to grow our Shopee platform and strengthen our market leadership position, especially in our focus categories. We expect our investment in sales and marketing to continue throughout 2018, as both our GMV and gross orders to grow. 
 Digital financial services adjusted revenue was $3.9 million, up 93% year-on-year from $2.0 million in the first quarter of 2017. Adjusted EBITDA loss was $8.6 million in the first quarter of 2018 compared to a loss of $9.9 million in the same period of 2017. We had a net nonoperating loss of $18.2 million recognized in the first quarter of 2018. This was primarily due to the fair value loss of $18.8 million, arising from the fair value accounting of the convertible promissory notes and an interest expenses accrued on these same notes, partially offset by an investment gain arising from the disposal of an equity security investment. 
 We had a net income tax benefit of $0.8 million in the first quarter of 2018, which was primarily due to the change in salary tax rate in one of our markets we operate in and the increase in deferred revenue from our digital entertainment segment in the first quarter of 2018. Finally, our adjusted net loss, which is net loss adjusted to exclude share-based compensation expenses, was $205.5 million in the first quarter of 2018 as compared to $67 million for the same period of 2017. 
 I will conclude with our revised guidance for this year. For the full year of 2018, we now expect total adjusted revenue to be between $780 million to $820 million, representing year-on-year growth of 41% to 48%. This compares to the previously disclosed guidance of $730 million to $770 million. We're also revising our e-commerce GMV guidance. We now expect that GMV to be between $8.2 billion to $8.7 billion for the full year of 2018, representing year-on-year growth of 99% to 112%. This compared to the previously disclosed guidance of between $7.5 million to $8.0 billion. 
Alan Hellawell: Thank you, Tony. Austin, we shall now open the call for questions. 
Operator: [Operator Instructions] And our first question will come from Miang Cheun Koh of Goldman Sachs. 
Miang Chuen Koh: Three questions, please. Firstly, can we have more color on the path towards monetizing Free Fire more significantly, and when it could have a meaningful impact as well on paying users? Secondly is that, we understand Sea's balance sheet, of course, do look very strong. Are you considering more Shopee spend -- Shopee-related spending as needed ahead? Can we also get an update on any potential fundraising plans? And thirdly, for e-commerce revenues, can you elaborate on the country breakdown? And whether we should expect product revenues to also grow exponentially in coming quarters? 
Forrest Li: Okay. Thank you. This is Forrest. I will talk about the Free Fire monetization question and then I will pass to Alan for the rest of the questions. And for Free Fire, we are very excited and we are very encouraged by seeing the rapid growth of our user base. And in the last quarter earning release we report, and we have 6 million daily active users. And after 3 months, like this quarter, so now the number is growing to 13 million, it's more than doubled in terms of DAU. And especially we achieved this tremendous growth with the context that actually some competing games was launched aggressively globally. And actually, very interestingly, like during that period of time when the competing game was launched and actually the growth -- the user number of Free Fire, the growth of that actually accelerated. And regarding your question in terms of the monetization of Free Fire and that has been -- we have been shifting our focus from just really, really just a focus on growing the user base now to a more balanced approach, which like we start to really spend a lot of effort to think hard on how to monetize the game. And we have studied how the similar general games in terms of how they monetize the user base for battle royale games and we have been -- have some good ideas and we see some successful examples from other similar type of games for example, like we have been quite impressed by the monetization of Fortnite. And we believe that is a very good path for us to explore as well. And so we have been starting this effort in the past 1 to 2 months. And we're going to release a new version -- updated version later this month, probably either later this week or next week. And from that version, we were going to start to see the -- our effort in terms of monetization. We're going to see that from the revenue result. I'm pretty confident. I think, probably, 3 months later when we are back to this earnings release and we're going to have a very -- some very encouraging monetization numbers to share with you related to Free Fire. 
Alan Hellawell: Great. Thanks, Forrest. I'll answer your second question, which as I recall was about Shopee-related spending and fundraising plan. As you've observed and see, we very much have a healthy cash balance. When we look at the longer term, there are many options for us to strengthen our balance sheet and much more importantly, unlock greater value for our shareholders. These could include raising money at the Shopee level. We believe that Shopee is being significantly undervalued. One only need to look at recent transactions to support this view. Flipkart, for instance, was acquired at, I think, 2.8x GMV for the March year for more than $20 billion valuation. I think, as I recall, the company's GMV grew about 50% year-on-year during this period. Meanwhile, Shopee's GMV growth, as we know, was about 4x faster than that of Flipkart for the same period. And I think, our GMV was roughly 70% that of Flipkart. So we remain totally open-minded about fundraising and we're very lucky to have various and sundry options there. With regard to direct sales and product revenue, again, just a little context, this has started to evolve, largely driven by seller's needs and preferences. We will continue to add kind of a growing toolkit to help sellers manage inventory and fulfill orders from warehouses and we have started leasing warehouses, as you all know, several months ago. We can also help operate their stores on our platform and we may even purchase products from brands for resale on our platform. That part of the business, we don't expect to form a significant part of GMV for the foreseeable future, direct sales that is. As we're in kind of early stages rolling out these services, it would be premature to compare margin profiles, but we wouldn't expect it to be very dissimilar from our peers. 
Miang Chuen Koh: Sure. And regarding the marketplace revenues, is it possible to share a bit of the country breakdown? Is it -- meaning, is it fairly broad-based you're talking about? Is it more Taiwan-focused now? 
Alan Hellawell: I think there's still, for obvious reasons, an outsized presence from Taiwan, largely because it was kind of a first-mover market, it was the first market in which we rolled all forms of commission taking. We do, however, have a growing number of monetization tools across other markets related to some of these new revenue line items. And so this kind of matrix of country versus form of monetization were gradually filling in. But with time, we can safely say that markets outside of Taiwan will grow to be an ever larger percentage of revenue. 
Operator: Our next question comes from Mike Olson with Piper Jaffray. 
Michael Olson: I had a couple related to gaming specifically. When you look at the battle royale genre and the success that you've had with Free Fire, is the intention at this point to continue to focus on that game singularly? Or is there any reason to look at potentially additional games within that genre? Or does that potentially ideas, I guess, dilute Free Fire? And then, secondly, on eSports specifically, do you guys view that as potential real kind of revenues standalone business? Or do you view it as more of a kind of marketing halo that helps with engagement of the title? 
Forrest Li: Sure. Thank you for the question and the first question in terms of Free Fire and the more genre -- the battle royale genre. And at this moment, we are, like, just that we think it's a genre. We are pretty focused on Free Fire and as we adjust this cost and we see a tremendous growth of our user base and I think, like, in the instance of the user base Free Fire has already published one of the largest game worldwide in that specific genre. I think like at this moment, in generally we still believe the whole genre is still at the very beginning stage and that there is going to be continuous invoke of the genre, which means probably, there is going to have a more like a different type of credibility and there is going to be more features of this genre. So I think like based on big user of Free Fire, this offers us a very good foundation to continually explore this genre. And also probably with some like our sharp innovated approach, right, in terms of the playability and in terms of the feature of the games. Actually, we will keep trying that and the -- so that our -- that's the main task of our Shanghai studio. So basically, number wise, pretty much focus on the monetization of the existing user base and the second is like, we believe, okay, we expect to see, like, more growth of this genre moving forward. So we want to capture the wave and we continually explore different type of gameplays and we interact, communicate with community frequently and we ask, so what more they want from this game? And what is some other innovative ideas around this genre. So at this moment, I don't think we need just another battle royale game, like, to capture the wave of the growth of the genre and the -- and we just need to focus on what we already have built and then continually grow Free Fire. But at the same time, we remain very open-minded and we keep -- closely monitor worldwide how the genre is develop. We have some our own ideas, but we also love to learn the best practice some others like peer studios worldwide. And there could be the chance, right, from certain games like we may collaborate with them for our core markets, like Southeast Asia and Taiwan. And I think that is a -- at the same time, like others than the battle royale genre, it seems like we continually have a very balanced approach and we have several very highly anticipated game titles pipeline to launch this year from our developer partners. And I think that we have a pretty high confidence about the performance of those games and hope I can -- I'll come back with a very encouraging results in 3 months. And in terms of eSports, definitely we believe this is a very important trend and this is how gamers spend their times, not just in the game but also out of the game and this is a good way to enhance the engagement, the gamers engagement and also increase the lifecycle of the games. And that definitely, at this moment, I think there's 2 steps needed for our approach. Number one is that we're just going to focus on offer the, one, for the eSports experience for our existing user base, right. And luckily, like, there is big percentage of our games in our pipeline, in our existing portfolio are eSports-related games. I mean this has been the genre we have been focused on since Day 1. So we have a lot of good experience of that. And I think like we know so there is a strong need from gamers in terms of those eSports experience. We want to fulfill that need first. And at the same time, we are being very, like, motivated and encouraged to see some other markets like China. And there is a strong monetization of eSports-related products and services as well. And I think, where we continue to need to learn from those more amongst the market and hopefully, we're going to apply to our market as well. I think, we are well-positioned to capture the revenue potential of eSports in our key markets. 
Operator: Our next question comes from Alicia Yap with Citigroup. 
Alicis a Yap: I have some follow-up questions on the e-commerce. Wanted to get a sense of these direct sales of these -- for some of the seller. Could you give us some color like which categories are these products and in which country? And are we taking the inventory risk on these? Or more on the consignment model? And what would be our strategy of the overall mix of these 3P versus 1P going forward? And also, within the marketplace, the going forward mix of the C2C versus the B2C. And second question is regarding the revised guidance. Should we assume most of the increase is mainly attributed to the better e-commerce revenue? Or should we also assume the digital entertainment revenue will be also some upside with the revised guidance? And lastly, on the sales and marketing spend for the e-commerce as a percentage of the GMV ratio going forward, what would be kind of the expense ratio that we should be thinking about for the rest of this year? 
Alan Hellawell: Sure, Alicia. I'll start off with the some of the answers. I think your first question was about direct sales for sellers, which categories in which countries. The more prominent categories would be FMCG. We would also do some amount of 3P-related direct sales. We're generally seeing -- we're rolling it out in markets ranging from Taiwan to Indonesia. Although we would expect other markets to follow suit. I would just pause here to just remind you that it's actually a very, very small part of GMV. And we are really just kind of taking it quarter-by-quarter with these key customers. But we will make sure that we keep you apprised around the growth rate of that. With regard to direct or consignment, that actually is a mix. We want to be as flexible as possible and it may relate to the attributes of the product or the needs of the seller. But again, early to give you a sense as to what the breakdown would be between direct and consignment. I think your next question was around 3P versus 1P. Again, the vast bulk of our value proposition from Day 1 and through to today is marketplace. And we'll continue to embrace that as our main mode of business. We will do, again, 1P, much more opportunistically. So I would not expect that 1P mix to rise significantly as a percentage. I think you also had a question about C2C and B2C, are you basically talking about Shopee and Shopee Mall? 
Alicis a Yap: That's right. That's right. 
Alan Hellawell: Yes. So I would say, I think I'm correct in saying across almost every market, Shopee Mall is growing quite a bit faster than our incumbent C2C Shopee business. And so that's obviously very encouraging for us and the reason why it's the regional trend for us is we're often finding leading brand such as NIVEA recently who inked a multimarket distribution arrangement with us. There might be one other platform that has regional reach and is very strong in certain areas. But our demographic being largely female-focused, I think, put us in very good stead to build that part of the business not just into Taiwan, not just in Indonesia but regionally. And so with regard to the guidance, yes, it's by and large relating to these new revenue streams that we're cultivating in e-commerce. I think, it's steady as she goes around the gaming business. Although, obviously, as a veteran analyst in that area, we may have updates over the next couple quarters, particularly as we start delivering games from our pipeline. And then sales and marketing as a percentage of GMV, I would say, generally speaking, we're very much in a phase where we're both pushing greater efficiencies out of the incremental GMV we create and then, we're also -- we have a very natural tailwind by growing so much faster than our underlying markets. And those end up being better volume-based discounts from our ecosystem of partners. So we're very much focused on continuously driving down sales and marketing as a percentage of GMV. 
Operator: Our next question is from Andrew Orchard with Nomura. 
Andrew Orchard: Couple of questions. Number one, I think, Alan you just mentioned that you have some brands that look at your regional reach and take that as a benefit. How common is this sentiment? Because I think, the thoughts behind e-commerce, obviously, is that it's very fragmented, and you look at individual market separately. So are brands coming around to looking at the region as a whole and does that, like you say, drive a lot more benefit going forward? The other question is, again, on the top-up in the revenue guidance, how much of that within the revenue guidance is increased in 1P sales from e-commerce? Or did your original guidance already include some of this 1P or product sales? And this increase in the revenue guidance is basically just coming from a lot more GMV growth? So if you can answer those 2 questions that'll be great. 
Alan Hellawell: Yes, so with regard to your first question, brands coming around to look at the region. My understanding is we have all forms and factors of a partner on that front. We may have one brand that simply wants to establish a beachhead in one of the larger markets, such as Taiwan or Indonesia and it's mission accomplished. And that may also relate to fact that to your point, there are different buying behaviors and preferences market-to-market. But one thing that we're seeing increasingly is brand achieving a lot of success working with us as a partner. Maybe it isn't Taiwan or Indonesia and deciding to roll out regionally. So we're finding that there's a lot of brands that use us in 1 or 2 market as a testbed and with satisfactory results, come back to us and say, "We'd like to explore new markets." But I think, it's a fascinating engagement. These guys have very exacting expectations, they've been distributing on other e-commerce platforms around the world. And we usually, frankly, have to spend maybe a good year with them to ensure the level of service that they expect. And interestingly, we're kind of making that one-year lap with lot of these brands. And so we're quite excited about the second half of this year as we get approved as a partner for a lot of these names. Do you want to answer the guidance? 
Hou Tianyu: Sure. So for the guidance, as we mentioned, we're broadening our service offering for Shopee, which including the Service by Shopee, Shopee Logistics and other value-added service. And of course, there is a part of the direct sales. So the increment comes from the broad spectrum of all these additional services we offer to the market not only from the direct sales part. 
Operator: Our next question is from Mark Goodridge with Morgan Stanley. 
Mark Goodridge: Just 2 questions on the e-commerce business. Firstly in Indonesia, can you give us an estimate on what you guys think your market share is in that market, is it 20%, is it 30%, is it 40%? Any guidance would be very helpful for the first quarter. And then second question is on Taiwan. Obviously, that is your most mature market with regards to the e-commerce. When you specifically do you think you'll be breakeven in that market? Is that 6 months away? Is it a year away? How close are we? 
Alan Hellawell: Sure. I'll take that first question. It's -- I have a kind of a secondary career in trying to measure these markets and understand them. It is a bit tricky when across most of our markets, we're the only entity producing numbers. But if you look at a sampling of what we've been able to gather, our general market share tends to be kind of 25% to 30%. These would be, by and large, surveys done by third-parties and the sample sets tend to be between 1,000 and 7,000 respondents. And it reflects, in many cases, the entirety of Indonesia. And so, as I think, we've discussed before, I think one of the benefits of the marketplace is, obviously, its ability to address not just the urban centers, but other parts of the market. So that's kind of the best that I can get you in terms of our estimates and the lack of any other data. 
Hou Tianyu: What is the question? 
Alan Hellawell: So the other-- sorry, can you repeat your second question? 
Mark Goodridge: Yes, just on Taiwan, [indiscernible] market share in e-commerce. When do you think that, that will be breakeven, 6 months away, 3 months away, a year? Any color will be helpful. 
Alan Hellawell: Yes, we're probably not in a position to give that kind of granular guidance. I would say that: A, there is a couple of very favorable factors, as you know, Mark. We have a full commission schedule and have since maybe in the middle of last year, within that commission schedule, we are seeing a growing biased towards the higher commission rate forms of GMV, which in our case, are Shopee mall and cross-border. And then to Tony's earlier point, these value-added services that we're rolling out have seen really good traction in Taiwan. So that's kind of the revenue take rate part. We -- I would say, on the sales and marketing, the GMV side, we have succeeded in driving that down and we're confident that we'll continue to drive it down further. So the 2 lines are definitely coming closer together. We'll do our best to give you an update as we get closer to free cash flow breakeven. But I would say, particularly on the take rate component, we're obviously climbing faster than we would've expected before we rolled out these value-added services. 
Operator: Our next question is from John Blackledge with Cowen. 
John Blackledge: Two questions on e-commerce. So the GMV was better than expected and the guidance was raised. If you could provide any more color on kind of the key markets and/or key verticals driving the better-than-expected growth. And then, the second question on e-commerce would be the marketplace revenue is also better than expected. Just wondering, if you could quantify marketplace revenue from commissions and advertising than marketplace revenue from the value-added services in 1Q '18 and how we should think about the run rate for those 2 segments within marketplace revenue for the remainder of the year? 
Alan Hellawell: Sure. So with regard to what might have driven stronger-than-anticipated GMV. Frankly, it seems to be quite broad-based across country and category. We saw, generally, very strong growth in our largest markets of Taiwan and Indonesia. Taiwan being a little more mature is obviously not growing as fast as the overall region. But Indonesia very much is. And in terms of the kind of Tier 2 markets, if you will, we saw Vietnam and Thailand inch up a little bit in terms of its -- their contribution to orders in GMV. So generally, again, pretty broad-based. With regard to category mix, it was actually very stable. You'll recall that in our long tail focus, fashion ends up being one of our -- is our largest category followed by health and beauty, home and living and then baby products. [indiscernible] remain a pretty small minority of our GMV. But again, very few changes in the fourth quarter, again, suggesting broad-based growth by category. 
John Blackledge: And the market [indiscernible]. 
Alan Hellawell: Exactly. Okay. So I think you can probably gain a sense as to what our commission contribution is by looking at the GAAP and the non-GAAP numbers, because if you recall, GAAP guidelines forced us to net out commission against sales and marketing. So I'll leave it to you to kind of do that math. VAS would be, basically, would represent a significant part of the delta that you would assume for first quarter in your own numbers. Collectively, they're still a relatively small part. As they grow, we'll be able to give you more color. But again, it's fulfillment and logistics that contribute to VAS. And we've seen good adoption of both fulfillment and logistics in our largest markets. 
Operator: Our next question comes from Varun Ahuja with Crédit Suisse Singapore. 
Varun Ahuja: First question is on the gaming business. It's expected to have a decent strong growth for this year on the revenue side if you can provide some colors on the margins also. How should we look at the margins for the year? Will there be any compression because '17 seems to have benefited from AOV. As you launch other pipeline games and every stuff, do you think the growth will be there, but the margin will see a little bit of compression? That will be helpful, any color on that. Secondly, again, on the gaming side, you launched Free Fire in -- your own game, in your market first  Tencent has launched its PUBG Mobile in your markets. So how do you see this evolving in terms of relationships. It's on the battle royale genre but given Tencent is your kind of a largest shareholder and also kind of a main provider of the games to you in terms of e-selling. So how that this relationship of competition evolve over you and Tencent? That will be -- any color that will be helpful. 
Forrest Li: Sure. Thanks for the questions. And in terms of our game business, Garena's margins, I would expect the margin will be pretty stable. I think in our Q4 we have like a 38% margin. And I don't see the margin will go up or go down significantly for the rest of the year. And it's pretty stable. As you mentioned, okay, so last year so -- our margin like, is improved, because of Arena of Valor, actually if you're looking at this year probably Arena of Valor is continually contribute very positively on our margin as cost of game is doing -- still growing very, very nicely. And for some other new games we are going to launch in our pipeline, because the things we don't expect that going to hit our margin significantly because anyway by being the largest game platform in the region, we already have a huge, huge user game -- huge user base. And for the game we're going to launch, it is already really, really highly anticipated. So we don't expect we're going to need to spend aggressively on user acquisition for those new titles, yes. So which is probably the -- is the major spending regarding the new game launch. Yes, I think for the second question, PUBG in terms of our relationship with Tencent which is related of the PUBG Mobile. I think if I remember correctly, probably I gave some thoughts on our last earnings. Our earnings release, we have been discussing -- we have always have a very open discussion with Tencent, okay, [ among ]. We have a pretty good visibility about the Tencent's game pipeline as well. So we have been regularly discussing with Tencent what is the best approach for each of the games in their pipeline and what is our view of the game in the market and what is the best way to launch it. I think specifically for battle royale genre and the things like -- so we already have Free Fire and the Free Fire is specifically developed for Southeast Asia gamers. And say for example, like for some very specific features. We have been very focused to meet the needs of Southeast Asia gamers. Number one, say, we release very cautious and very sensitive in terms of per game session and we relatively get understanding from other, our games. So in generally, gamers prefer a shorter game session, probably 10 minutes, 15 minutes per game session. They can enjoy a gameplay rather than spend 20 minutes or 30 minutes on one game session. So we specifically developed for Free Fire, so for example, you stand up with 100 people to play the game together. We make it to be 50 people together with the game, with the smaller maps, which -- so the per game session is shortened. And I think it's very welcomed by gamers in our core markets. And another example is in terms of the sensitivity of the smartphone spec. So we have been try to optimize the game experience for Free Fire on the -- towards a lower end spec phones, which is the majority of gamers to pay with the phone they have in our market. So there is in a way, so we have been very confident in terms of the potential and outlook of Free Fire and considering our resources and also like to encourage our internal studios development and so we decided we'll just focus on one game rather than just have multiple games in our portfolio. And yes, so that is, I think, that is probably also in the best interest of Tencent, right. Because if you think about it, they give the game to us, then they say, "Okay how you're going to --  sounds like there is a conflict of interest. Like how are you going to balance the 2 games? Where you allocate your resources?" I think looking a little bit long term, so we have very strong relationships, a very strong trust and the collaboration with Tencent and for some games in our pipeline for the launch this year that is a Tencent's team and that is highly anticipated game as well. And I would say, I don't just want to generalize the relationship by 1 or 2 cases. I think it's a pretty much is a game-by-game discussion and by the end of the day, so whatever is the best overall for the game rather than just -- okay, so yes, so this is just one party interest. So I think looking forward you may expect, okay, that you still see we are going to have pretty high-quality games from Tencent in our pipeline and I will also not be surprised if Tencent to launch 1 or 2 games by themselves in our region as well. 
Varun Ahuja: Just one more bonus I want to sneak in. The quarterly average users that you disclose is a little bit distorted given Free Fire has been launched outside of your core market. Can you give color how much of that quarterly average user in your 7 core markets versus outside, if you can disclose that? 
Forrest Li: Well, I think, we probably -- it's -- don't want to break down to that details, but I think, still majority of our user base is coming from our core markets. 
Operator: Our next question comes from Archana Parekh with Seatown. 
Archana Parekh: I wanted to ask a question, Alan, I think brought up the comparison to the Walmart-Flipkart transaction and mentioned that you may consider something at the Shopee level. Could you elaborate a little bit more on that? And also share with us sort of how similar, different are Flipkart and Shopee as well as the potential that Shopee has to attract interest in similar sort of way? 
Alan Hellawell: Yes, Archana. I guess, our -- one of our central modus operandi is, obviously, to create value for shareholders. That's probably the unifying thing that drives our meetings day-to-day and our activities. And it's actually not just Flipkart, but there are some other very, very encouraging examples of transactions that suggest people put a lot of value in a leading e-commerce platform. And frankly, it was effectively the most important component of my decision to exit after almost 20 years of equity research and that is what I was seeing with Shopee in Southeast Asia. And so at our current share price, I'm -- I don't think I'm saying anything controversial by saying that it probably is not capturing the dimensions of a platform that has achieved so much in so little time and that frankly, I think, had the tremendous opportunity going forward and so we -- I wouldn't want to focus exclusively on that. I guess, the real message here is that we remain entirely open-minded and opportunistic around realizing value for shareholders. But again, I think that we're very confident quarter-after-quarter, we will deliver on our business plan at Shopee and we're hopeful that people will ascribe increasing value to that. Again, we may offer this very rare opportunity to invest directly in this once-in-a-generation opportunity, we may forge another path. But again, we're very much -- we're very keen on making sure that a shareholder realizes as much value across our business units as possible. We remain singularly focused on seizing some of the largest parts of the Southeast Asian Internet economy and we want to share that success with our investors. 
Operator: Your next question... 
Alan Hellawell: Sorry, Austin. We'll take one more question. Thanks. 
Operator: Our last question today will come from [ Harry Walton ] with RSR Partners. 
Unknown Analyst: I wanted to see if you can give a bit more disclosure on the state of shipping subsidies, especially in Indonesia. And kind of how much of that -- how much orders are being subsidized at the moment? 
Alan Hellawell: I would say, generally speaking, we are not unlike any other market succeeding in driving down shipping subsidies as a percentage of GMV. There is no real black magic there. It's just kind of our growing scale economies. You will find that as a shopper, with time, by and large, and because you're not looking for free shipping, you're looking more for selection. You're looking more for pricing on the platform. You may be focused much more on the user experience. We have means of kind of gradually withdrawing that subsidy level. We're not in a position to give you an exact percentage of how many of our customers get any subsidies. But I would just say that we have a confidence that is supported by lots of precedents around world, markets going through consolidation that we will continue to succeed in driving sales and marketing to GMV down in markets, not just like Indonesia, but hopefully all of our markets. 
 Great. Austin, with that, I think, we'll wrap up. As always, we very much appreciate you guys joining. Welcome any questions you might have. We happen to be joining some of the bigger conferences in the region over the next couple of weeks. If we don't meet you there, we look forward to hearing from you directly through the analyst. But thanks, again, for joining and thank you, Austin.